Operator: …Automobile Holdings 2023 Annual Results Announcement. My name is [indiscernible]. Let me introduce the leaders present today. Daniel Donghui Li, Chief Executive Officer of Geely Holding, Executive Director and Vice Chairman of Geely Automobile Holdings; Andy An, President of Geely Holding, Executive Director of Geely Automobile Holdings Limited and CEO of Zeekr; Shengyue Gui, CEO and Executive Director of Geely Automobile Holdings Limited; Jerry Gan, CEO of Geely Automobile Group, Executive Director of Geely Automobile Holdings Limited; the CFO of Geely Automobile Group, General Manager of Finance Center, Dai Yong. We have 3 parts to this presentation. We will have Mr. Dai Yong to go through the slides, and then, we will have Mr. Gui for a short remark, and then, we will invite questions from the media and investors physically presented here and also online. Now the floor is yours, Mr. Dai.
Dai Yong: Well, thank you very much. Dear media friends and investors, I'm Dai Yong. Thank you very much for taking your time to attend Geely's 2023 annual result announcement. In the past year, Geely has made remarkable achievements in various aspects. First of all, in terms of the sales volume, we set a number of new highs in 2023. The total sales exceeded the target of 1.65 million we set at the beginning of the year, reaching 1.687 million vehicles with a year-over-year growth of 17.7%. Also for the NEVs, we sold 487,000 vehicles, up 48%, exceeding the general market. Now we had completed our new energy transformation and become a mainstream NEV group. For export, we did 274,000 overseas market exports with a total account for 16% of the sales. With the increasing product value and the business diversification, our revenue reached RMB 180 billion with over 21% increase. Out of the revenue of finished vehicle was nearly RMB 150 billion with an increase of 22% year-over-year, further consolidated our core basic business. At the same time, revenue of other businesses such as auto parts and battery packs have reached RMB 30 billion with an increase of 18% year-over-year. In the year of 2023, our core profitability significantly increased. The profit attributable to shareholders increased slightly by 1% to RMB 5.3 billion, but if compared to the same caliber and we exclude the premium income of RMB 1.75 billion from onetime subscription of Renault Korea in 2022, the profit attributable to shareholders increased by 51%. The first half of the year, we had RMB 1.57 billion and the second half RMB 3.74 billion, up by 138% month-over-month, meaning that we have a better profitability in the second half of the year. In terms of the gross profit, we optimized our product structure, and our gross profit increased by 31.82% year-over-year to RMB 27.4 billion. With an increase of new energy sales -- vehicle sales, the gross profit margin increased by 1.2 percentage points to 15.3%. And our management efficiency had led a decrease of 0.1% in terms of the administrative and general expenses. The channel diversification increased the sales expense ratio by 1%. But this is mainly due to active development of domestic and foreign channels. The operating profit margin still increased by 0.4%. So thanks to a good business performance, we have achieved abundant cash reserves with a record high of RMB 36.8 billion, and net cash level increased also to RMB 28.4 billion with sufficient cash reserves to support our future development. While making profits, we are also giving our investors a stable and high cash dividend. In recent years, dividend payout rate of the company is supposed to be HKD 0.22 and payout ratio is 39.3%. Now I'm going to walk you through our business performance by brands. For Geely, we reached 1.31 million, up by 16% year-over-year. We launched Galaxy new energy series, including plug-in hybrid and pure electronic vehicle E8 and L6, L7. We had over 10,000 sales over each month with Galaxy series, and cumulated total sales volume is 83,000 vehicles. And for China Star series, including Xingyue and Xingyue L, we had sold more than 87,000 vehicles by the end of the year of 2023. And “Zeekr had also launched its second full year with a total sales of 119,000 units with a year-over-year growth of 65%. And we had also launched our SEA platform with a full 800-volt super-fast charge leading in the aspect of safety and intelligence. We had also launched 3 new models, which is [indiscernible]. And so for Zeekr 01 and X had launched its presence in overseas markets in Europe and Middle East as well. And in the year of 2023, the sales of Lynk had also grown steadily. And in the year -- in the previous year, the sales volume reached 220,000 units, with an increase 22.3%. And in terms of our models, we have Lynk 08 EMP, and we reached over 10,000 sales for the first month, and this is also very excellent compared with others. It's excellent safety and intelligent with Flyme Auto OS had been very well received. Our sales in overseas markets, especially in Asia-Pacific and Middle East increased by 150%, and the first phase in Europe, we mainly have the subscription model and have increased our brand awareness. In terms of our auto finance arm, this actually gave us a net profit of RMB 1.2 billion, the same level as last year, and where the contract -- auto loan contracts reached of RMB 594,000 with a 10% increase. Third-party contract is RMB 71,000, increased by 176%. By the end of last year, active contract is over RMB 1.4 million, thanks to our good risk management system and our nonperforming rate is as low as 0.22%. And we have launched 5 phases of trenches of asset-backed securities in 2023, and we also had launched first circular green ABS in China's auto financial industry. And also Renault Korea and PROTON contributed to the diversification of the profits. In November 2022, we completed the subscription of 34% of equity interest in Renault Korea, utilizing our existing automobile investment technology to cooperate with other carmakers and develop our export businesses. The Renault Korea's sales volume for the year was 104,000 units, of which 82,000 were exported. Renault generated a net profit of RMB 500 million. And we recognized a gain of RMB 169 million on our investment and received a dividend of RMB 180 million. For PROTON, we provided -- we actually had completed the acquisition of 49.9%. Our cumulative sales volume is 154,000 units, representing a growth of over 6%. In terms of ESG, we have been committed to sustainable development, and also ESG is one of the cores of our strategic developments. In terms of environment, through various ways of carbon reduction, we pushed towards our reduction goal in 2025. The carbon emissions of the whole life cycle of vehicle decreased by 12% over the year 2020. In terms of the social front, Geely has always been putting our customer safety first. And our product safety had also been recognized by our customers and the market. In terms of the governance, the proportion of sole directors has increased to 42 -- of independent directors had an increase to 42%. And Nomination and Remuneration Committee has been 100% consistent of independent directors, and we also have enhanced the diversity of our Board with 25% of our directors being women, and we have set a target of 30% by the year of 2025. The performance of our company in ESG has been recognized by a number of professional ESG rating agencies. We rank first among Chinese automobile enterprises, even in the world. Now last year in MSCI ESG Ratings, we upgraded to AA last year, and we're ranking first among Chinese automobile companies in S&P Global Sustainable Development ratings. And we were included in top 30 performing Hang Seng Sustainability Index for ESG, and we ranked #8 in top 100 China ESG listed companies. Looking forward, for the coming year, we will continue our high quality development and take a series of measures to further improve our profitability. Our sales target is 1.9 million for the year. Compared with last year, there will be an increase of 13%, and we also would have a balanced development for fuel vehicle and new energy vehicle with a 66% of sales target increase for NEVs. Now for the first and second month of the year, we sold 320,000 with a year-over-year increase of 55%. For Geely, Zeekr and Lynk, we will launch 3 main NEV products so as to gain more market share. In terms of technology, we have successfully completed the transition to new energy and laid out our industry-leading intelligent and electric technology. Each brand will try to synergize our resources so as to enhance the efficiency of the input and output. Now in terms of the profitability in the second half of the 2023, you can see that the profit attributable to the shareholders increased by 138%. As we are launching more product models and having more sales cells, the economy of scale will play a bigger role so that we will have a better profitability. And of course, we will try to further consolidate our profitability on the economy of scale. For Geely, we will focus on 2 core platforms with 6 flagship models. In Galaxy series, we will continue to improve our sales channels and increase our brand awareness for more market share, where the higher proportion of NEVs, we will try to better our profitability with the economy of scale. In Zeekr, sales target increased to 230,000 units. 3 models will enter into more market segments, expanding our overseas market's high-value product and high-value product experts. With higher sales volume and higher gross margin, we will try to turn back into black on the Hong Kong Accounting Standard. And in terms of Lynk, we will continue our momentum with 08 EMP to launch one more hybrid and 2 more pure NEV so as to further build up our flagship product and to turn red into black. In the last slide, we would like to share with you the 3 new NEV models that the brands will launch. For the Geely brand, the 3 new models will be Galaxy mainstream BEV SUV, compact BEV SUV; and Galaxy mainstream PHEV SUV. For Zeekr brand, 3 new models would be Zeekr MIX BEV, mid- and large-sized premium BEV SUV and a top luxury EV MPV. For Lynk & Co, the 3 new models will be Lynk & Co 07 EM-P PHEV sedan, mid- and large-sized flagship sedan and compact BEV SUV. That's all for me. Thank you so much for listening.
Operator: Thank you, Mr. Dai. Now we will have Mr. Gui.
Sheng Yue Gui: Thank you so much to all of our friends online and joining us offline. Thank you so much for all your support over the years to Geely. For this opening remarks, I would like to share with all of you the feelings and the changes over these few years results announcement, remember, in March 2022, at the announcement, I was feeling very heavy hearted. And I was sharing how lacked behind Geely was in terms of electrification, NEV. And then last year, the same event, I was very confident announcing to all of you that Geely Automobile has already completed the most basic layout for our NEV and intelligent cars. Many of the models will be equipped with the intelligent and NEV features. And at today's event, I'm feeling very confident. We're confident that in this highly competitive Chinese auto market, Geely will come out as a winner. This confidence I have, I would like to tell you why I feel so confident. Firstly, looking at our performance in '23, it proves that in terms of NEV and intelligence, Geely Group enjoys huge capability as well as potential. Mr. Dai, in his presentation, has already shared with you our performance in intelligence and new energy aspects, which I will not repeat. I believe going forward, Geely will be able to prove to all of you, to the market, the NEV products need to be made by carmakers that are experienced and have the competencies. It's not just the capital that matters, capital can help, but it's not all. That's why I feel confident. The first reason, we do have this capability and potential. And second reason I feel confident is that we have the competence and capability to compete with all the emerging players and in the end win over them. On top of that, we are capable to respond quickly to the market changes and to satisfy the needs of various customers. This is also a very important capability. In addition, we also are able to make sure that the company can develop in a healthy and stable manner. If an automaker is not making a profit for years, then for sure, it will not survive. And that is a very important reason I feel confident. And I believe the capital market has already started and eventually change and is, again, focusing more on the fundamentals of an automaker. And the third reason is that over the years, Geely has always chosen value over price. And we, for sure, will be rewarded by the market. I would like to emphasize this point because over so many years, every unit or product we sell, we stay responsible to our users and we stay responsible to the environment. This is crucial. We never make any compromise in the safety of the cars or to pay the price of polluting the environment by cutting down on the quality of our raw materials, for example. We will continue with this effort. And for sure, this will be well received and recognized by our users. As you have seen in the slides, all of our electric cars since launch, we've had zero spontaneous combustion incident. And you may have seen that in -- 2 months ago, Lynk & Co 08 rolled on the slope, but all the passengers come out safe and sound. And that is exactly because we always prioritize the user quality as well as the environment. From the slides, you have already seen the ESG part. Both domestic and international rating agencies have given us very high recognition in our ESG efforts. In the China's auto industry, we are an absolute #1. And this proves that Geely has been very well recognized by these rating agencies. And I believe eventually, we will receive recognition of our users as well. And this will help us to develop in a sustainable manner. I've just explained to you why I am confident. But I also want to point out that one thing that differentiates us from others is that the Geely Group strength will be very well played by Geely Auto. You may have noticed that over the years, the Geely Group has made very good achievements in satellites and chips and AI, et cetera. And I believe all these achievements will be able to empower Geely Automobile. And this will put us in a head start and enjoy even more strengths -- advantages over our competitors. And this is exactly how I'm feeling right now. We are feeling very confident, and that is the main message I would like to send to the audience. And we will now open the floor for some questions from the audience. We have showed you very clear information on the products we plan to bring to markets, and I believe you probably will be focusing on the questions such as how do we improve profitability and also for 0175 what is the positioning of that in Geely Auto. Now we have multiple brands, how do we further integrate, how do we get synergies and enjoy the scale economy. And I believe those will be areas of interest for many of the audiences today. We have here in this room, the Geely's whole management team. So we're happy to take your questions. We will do our best to give you the answers.
Operator: Our analysts, many of you are raising your hands. Maybe we could have questions from our media front first because with previous events, we take questions from the media first, so because the media friends need to cover. So we will have this lady first.
Unidentified Analyst: I have 2 questions. The first one is that we saw in the report, the gross profit margin for Geely last year was very good, but we know last year, there was price war, very bad ones. So with intensified price competition, how do you maintain a good gross profit margin? And for this round of price war, what is your judgment? How long is it going to last for and how it's going to impact the industry? And the second one is on Lotus, and we see that this year, it is official listed in NASDAQ, which means that we will include in your reports a new business. So for the global capital markets, what is their expectations on all of the NEV projects?
Unidentified Company Representative: First of all, thank you so much for your ongoing support and care to Geely with years of efforts in new energy transformation and also intelligence efforts. We have made significant achievements. For the auto industry, the year '23 was a very challenging year. One number can reflect that. For '23, the automobile pricing index reduced to 92%, which means that there was a discount on average 8%. In previous years, this number was around 2%. So this number just shows that the year 2023 was a very challenging and highly competitive year. And since 2024, the situation has just worsened. China's auto industry is now eliminating many of the auto players. So the whole industry has entered into a consolidation stage. This is right now a reshuffling stage. And in the year '23, with new energy transformation, technology innovation and internalization efforts, overseas expansion, Geely has achieved our annual targets and have overdelivered actually. So in 2023, we achieved 1.68 million units and gross profit margin overall reached to 15.3%. Year-on-year growth was 1.2%. And for H2 last year, the gross profit margin was close to 16%, 15.9%, and showing a very good momentum. Mr. Dai, in his presentation, already shared that January, February in '24, our sales has already reached to 325,000, which was 55% growth year-over-year. So we have already had a good start coming to the year '24. So the management has a target of 1.9 million units for '24, and we are very confident in achieving that target. Vis-a-vis the price war, our stand is like this, in the market, well, we believe that an orderly and healthy competition on price serves as a driving force for the development of the market because for those price-sensitive customers, price means something. We have always been stating that we don't fight a price war. Instead, we fight a value war. We want to bring strong sense of value for our customers. Quality, safety, technology, we hope that we can tick all the boxes. Geely will continue to act responsibly to our brand, so as to make our customers happy. We don't think that going into a price war is sustainable for our business, as this will be detrimental to the safety and quality of our product. We believe sustainability can take us far. And for our business, quality, safety, tech innovation are the lifelines of our business, and therefore, we'll continue to stay committed to high-quality and safety -- high levels of excellence in quality and safety. By way of example, in year 2023, just as Mr. Gui said that a Lynk & Co model rolled off to the foot of a hill down 60 meters. And all of the passengers were safe and sound with minor, very minor injury. I was very touched hearing that news because that means that our commitment to safety worked. We were awarded as an excellent business for quality by China Quality Association because of that accident. For our aftersales services, we also ranked #1 amongst Chinese businesses for aftersales services satisfaction performance. So all of this manifested how committed we have been to safety and quality of our product all the time. Well, as at the same time, we will give full play to the economy of scale to give the full play of our mechanism, so as to drive down the cost and increase the efficiency of our operation. For instance, platform-oriented, platform-based tech innovation, our generalization of components are also getting higher and higher so that our components are highly standardized and generalized. The modules are confined so as to drive down the cost by about 30%. So platform-oriented approach of car making gave us a lot of savings in the cost. We also have 3.0 electric motor to help us to reduce the volume of harnesses so that we can save up about 30% of cost, whereas the performance can be maintained the same. So we're trying to save the cost and increase the efficiency by tech innovations so that we'll be able to take a leading role in both the safety and the cost. And at the same time, we make innovative measures in our systems. We put in a lot of efforts on intelligence and AI-based large model so that our R&D work will be quicker and faster and we develop new models based on the platforms so that we'll be able to increase about 15% to 20% of efficiency when making new car models.
Dong Hui Li: Thank you for that question. In February, [indiscernible] Lotus successfully was listed on NASDAQ, raising USD 870 million. And this helped to strengthen the brand and also helps to better optimize our management structure. Also, it will be very good to build the R&D capabilities in the future for the brand. The listing of it is of strategic importance for the Geely Holding Group. It helps us to be more resilient to the risks. But today, this is Geely Automobile's results announcements. And as the Vice Chairman of Geely Auto, I would like to share with you Lotus and other Geely Holding car brands. The development will have a very positive impact on Geely Auto's development. These brands, their developments do not use any of Geely Auto's capital and resources and also the development of those brands will help to create synergies in partnership with Geely Auto. It will create many good opportunities and lay good foundations. In terms of technology or sourcing, we do identify many synergies. For the 175's results, growth and performance, for the Geely Holding global partners in terms of the technology authorization, high-value OEM services, these have maintained very stable growth over the past years, and Lotus is the same. The brand has created very good opportunities for the growth of the group. Any media friends from Hong Kong? Any questions?
Unidentified Analyst: This is from papers. Now Mr. Gui, you mentioned that despite a very competitive market landscape, you'll be able to overcome your peers. So my question is, when do you expect to exceed BYD by sales volume? And second, in your slides, you mentioned that you are going to strike a balance between the fossil fuel vehicle versus NEV. Since there seems to be a stand -- a position shift because you mentioned last year that probably you will not spend as much on the fossil cars. So I was wondering your strategy against the development of NEV and traditional cars.
Sheng Yue Gui: So I will try to present my view and my colleagues can step in if needed. I just emphasized our confidence that we'll be able to catch up and be able to relive our glory in 2017, 2018, and the approach of achieving the goals to do NEVs. I think there were a few manifestations already out there showing that we are catching up. For instance, let's take Zeekr as an example, under the leadership of Mr. An, only 2 years into the market, 001, 009, these 2 models of Zeekr costs over RMB 300,000, and we are a consolidated #1 in that price range. You have to do well in each and every price range so that we -- so that you can accumulate the best sales volume in the market. So Zeekr is a great example in the price range of RMB 300,000 to RMB 400,000. New carmakers for so many years, none of them have done that. And so I think that in a way -- in this front, I think we are doing very great. Zeekr 009, the value is RMB 500,000 to RMB 600,000 per unit. And within just 1 year, we had taken down Alpha, the car model that used to be the most popular at this price range. In the past fortnight, Zeekr had saw a number of up ranking in the sales list. For example, in Hangzhou, Zeekr's sales volume exceeded that for Tesla. So I think this is quite hard to achieve, not an easy job. So I give -- applaud to the performance of Zeekr, and I believe that we'll be able to reclaim our #1 position in China market as a whole. But of course, it will take time and a lot of efforts in various fronts. Lynk 08 is another popular model. You mentioned BYD. Well, they're excellent currently. But of course, we are not lagging far behind for Zeekr, for Lynk. We are also -- we also have a chance of overtaking our competitors. Second, as for the pace of traditional cars and NEVs, well, I do not recall ever saying that we will discontinue traditional cars. Well, we believe, just as our Chairman said -- our Chairman Li, Shu Fu said during the 2 sessions in Beijing, he said that NEV will be the ultimate goal, but it still takes time to arrive at that goal. It depends on the environment. It depends on the society. It depends on the global situation. Europe and America recently, a lot of carmakers have been adjusting their strategy pertaining the latest dynamic in the market. So this is an evolution that takes time. I believe that we are taking steady and stable steps towards our goal. So product and profitability are the 2 lacks we rely on working towards that goal. And I do believe that Geely is a unique business that distinguishes ourselves from other peers. In China's carmaking world, there was a unique phenomenon. Chinese carmakers are making money. As long as you have your own powertrain or engine production, you'd be able to make money. But if you are a pure NEV maker, you're not making money. BYD is excellent in pure EV, but they're only making money for their hybrid models, whereas Toyota, they're making money. They have their own powertrain and engine. But I don't think it's fair to say that Toyota is lagging behind in the competition of NEV. On the other hand, as you can see, we are joining hands with Volvo and Renault and Mercedes Benz on the engine innovation, so I believe that these can be a game-changer maybe for the future because the hybrid engine is going to be pivotal for NEV. Probably we're going to be one of the giants in NEV engines in the world. We do have a lot of auto professionals and experts here. And I believe that everybody understands the importance of powertrain of a car. This is where we can take a lead and further consolidate our position and overtaking others. We rely on our technology in the competition. A very great question, indeed, of course. Yes. Thank you. I believe that this is a very strategic question. I ventured my 2 plans here for Geely hoardings. Intelligence and electrification are the 2 pathways to take us to the future. Looking into the future, NEV sales volume increased by 66%, which is overtaking the average of the industry. And of course, Geely Auto and Geely Holdings were both betting high on telematics, vehicle-based satellites and other intelligence features. We actually spended over RMB 200 billion with over 30,000 R&D people driving our transformation towards intelligence and electrification. Second, in all aspects, we've been talking about our intelligence and electrification transformation. We do that in a responsible way to our investors and consumers, and we have a long-term oriented approach towards our work for Geely, for Zeekr and Lynk. No matter for ourselves or corporation with other carmakers, we have been adopting the same philosophy, that is to have a well-balanced layout and reasonable allocation of resources. While we are transforming towards NEV and driving for economy of scale, we're also laying down a solid foundation in terms of R&D and procurement and manufacturing for cars. I can give you an example that speaks to the points. Geely Group, Geely Holdings and Renault, we've set up a joint venture for the gearbox and engine. Well, the starting volume for this joint venture is 6 million to 7 million units, and this joint venture on our gearbox and engines, we are also working on the R&D for hybrid models. So they will be able to produce hybrid engines for external partners. We also have partnerships with Mercedes Benz for powertrain. So we are open to possible cooperations to other peers that were in the world. So no matter for Geely Auto or Geely Holdings, we are very open.
Operator: Now we take questions from the analysts.
Unidentified Analyst: 2 questions. The first one is about exports. Last year, the export volume was 270,000 units. And for this year, what is your target? We have seen protectionism emerging in Western markets. So what is your export strategy? How do you leverage your unique multi-brand advantage? So the first question is about export. And the second question is about the profitability of NEVs with years of development and also your scale last year is 487,000 units and much higher this year. So do you see the net profit improvement of NEVs? And also by brand, Zeekr and Geometry, can you also please elaborate by brand?
Unidentified Company Representative: Mr. An will take this question.
An Cong Hui: Dear investors and media friends, to answer this question and also considering the questions from other audiences, I will give you the answer. I actually have already seen questions from our online participants. And prior to the meeting, we already collected some questions from the investors. So now I will give the answer. And what you have mentioned is just part of it. For Geely Automobile, you would like to know our judgment of the market for the year '24. Right now, we're experiencing price war, it's highly competitive. How do we react? Also, the investors would like to know, we have this multi-brand strategy, how do we really get benefits out of it. And others are more interested in Geely Automobile Group is now doing some coordination work among brands, how do we really get synergies and values? I would like to take this opportunity and give you a well-rounded and a comprehensive answer. First, for the markets, NEV market last year penetration was 31%. For '24, this penetration will continue to increase. But for NEV, there is the BEV and Hybrid. For this year, hybrid will grow faster than BEV. But for sure, BEV will grow as well. This is our judgment, and we think the penetration will reach to 40%. So for NEV, in 2024, penetration will further increase. I also believe the passenger car market will continue to increase as well. How do we respond to the price war? Mr. Gui has already mentioned earlier, we don't want to join the price war. But how do we do it? It is highly competitive, which is normal because it actually drives all the market players forward, and this is something that is bound to happen. Actually, 10 years ago, for the traditional car markets, it also experienced something similar. So this is normal. But how do Geely Auto respond to this? And I'll give you my answer and also the multiple brand strategy as well as our synergies and values. I will be brave now for the interest of time. And first, supply chain and then ecosystem, then globalization and then synergy. These 4 aspects, I will explain one by one. First is supply chain. For the NEV era, the vertical integration capability is very important, and Geely Auto has this capability. So the vertical integration capability of the NEV industry chain is important, and we have this capability, and it's already helping us because we can see. First, electrification, then intelligence and then low carbon. For electrification, we have the motor and battery and power control unit. And these are our strengths. From the control unit battery and motor, we 100% in-house develop them, and it has been already proven by the market. For example, the motor, single or dual or quadruple motors, we have a power efficiency of 1,300 horsepower, which is top in the world. That's very important. Then, for the control unit, for the design of powertrain, manufacturing of the powertrain and also the core technology of the control unit, including the development of carborundum. We now are already in-house developing the carborundum, which will be applied very soon. And also for the battery, we are the only one that have developed the battery -- 800 voltage battery, and this has already been applied in our product 007. I will not go into any details of the battery. So in terms of electrification, we are already well set up, and this will help us to drive the business forward. And second aspect is on intelligence. We have the intelligent cockpit and intelligent driving. Both the hardware and the software, we have realized 100% in-house R&D and not just the structure but also the centralized computing, the design of hardware to manufacturing capabilities. This, how does it help you? You probably want to know about the price. If we can produce by ourselves, then cost-wise, we enjoy a 30% cost reduction versus sourcing from third party. So with 100% in-house R&D manufacturing and also having the vertical integration capability, we enjoy the top-class technology as well as a cost advantage. Then, low carbon, Mr. Gui also mentioned earlier for hybrid, PHEV or extended range. In the area of low carbon, we are making full effort. And this is actually our strength. As you know, for the engine, we have higher thermal efficiency, and also, the gearbox transmission box that we have has already well -- been well received by the market. And this is our strength as a traditional ICE carmaker, and we will build on these strengths and further improve. And also, there is lightweight in terms of low carbon, new processing, new manufacturing. And the lightweight means that from raw materials to the toolings, to the materials, to the whole car, you need to have this lightweight capability, and we do have it. And Zeekr is the world's #2 to use whole die casting, and Tesla is the first one to have this technology. This means we have much higher manufacturing efficiency. We do enjoy many other advantages, intelligence, which I will not go into detail. But in a nutshell, in electrification, intelligence and low carbon, we already have this capability to vertically integrate along the chain. I always say that for the auto industry, you would not be able to compete relying on one single aspect. Your integration capability is crucial. You need to have the core technologies of cars so that you do not depend or rely on others. You also want to very quickly iterate your technology and products. You also want to build the right platforms, and the user experiences. How superior your products are and building best-selling products are very important too. And of course, you also want to have a cost efficiency so that you enjoy good profitability level. So that's all about the industry chain. And secondly, I want to talk about ecosystem. In an NEV era, changes have taken place. The business model of NEV covers full chain, full life cycle and full scenarios and which are different from the traditional cars. When we started the NEV transformation, we were very clear about this. So over the years, we have been making significant investments building this ecosystem, and it's starting to take shape this year and take charging and battery swapping for example, and battery swapping for mobility products. We have achieved very good results in many cities. For charging, I'm talking about Zeekr's supercharging. Now, in China, more than 50% of supercharger stations are Zeekr stations. So battery swapping and charging network is being built, and this is of strategic importance to us. This year and next year, we're going to make major changes to this network. And Geely Auto is the world's first one to achieve three 800 - 800 voltage whole car; 800 voltage battery, superfast charging; and also we have the 800 voltage charging stations. So our products are highly competitive. And after the users buy our products, they can also enjoy very good user experience. In the future, we also have the plan to build many more charging facilities. Recently, we've had a very good order book for Zeekr, and I have done some survey. The design of the product, the performance of the product, safety of the product is excellent. People buy Zeekr because it's safe and because of its good design. And also one very important reason for them to purchase Zeekr is the charging facilities. The strategic planning for Zeekr is very well received by the users. And that's why the consumers choose Zeekr. So I talked about charging and facilities network. And the third part is globalization. Starting from the Geely brand, we already were expanding overseas, and then, we have Lynk & Co and joint venture with Volvo, and Lynk & Co entering successfully into European market. And now we have Zeekr. Zeekr is positioned as a global brand catering to the global market. Last year, our growth was 38%. And from January, February this year, our overseas sales has increased by 57%. We believe that while in the NEV era, our globalization and overseas market abilities will be improved very quickly, we'll be very well positioned to expand overseas. We have the R&D center in Europe. The Geely's Europe center has been around for more than 10 years now. And also our partnership with Volvo is a good example as well. Lynk & Co, Geely and Zeekr, the -- these 3 brands, we enjoy very good sales in some countries, also with logistics and spare part components. We enjoy very good synergy. All these brands, the overseas sales, I believe, this year will increase significantly. And lastly is synergy, which I believe you are very interested in as well. Right now, synergy, innovation, and we're already seeing the benefits, and I believe these benefits will be even more obvious in '24. Geely Auto has an organizational structure and the right KPI structure. For example, organizationally, we have the product technology committee, brand committee, supply chain committee and also the top management in these committees. We also have the performance review structure in place. All these brands and also product technology, planning are there to respond to different segments. Different brands and different products, we don't want to have any cannibalization. We want to target at different segments and different users. For example, 007 and E8, those are 2 products on the same platform. There's no cannibalization of these 2 products in the market. This is just one example. So product, brand and technology. Then thirdly, we talked about the vertical integration of the industry chain, globalization, better ecosystem. We now have the right platform, which helps us to scale up. For example, the SEA platform now has been used on 11 models and also the 3.0 and also the 3 electric units and also our core parts and components, the pre-control and the control units, et cetera. We already have the right platform for the right scale. And this will help us to drive our profitability level. In the interest of time, I just want to repeat the key points here, supply chain ecosystem, globalization and also synergy within the group. These are the levers that we managed to transform into NEV, and those are the levers for us to reclaim our #1 position. Also the profitability of NEV. So I believe that it becomes quite self-evident. Let's say, Zeekr, as a new brand, now about 2 years old, 3 years old, as a new brand, since it's our first launch of the new model to the state, about 2 years now into the market. We said in 2021, that our profitability will be the best except Tesla. And we said it, we did it in 2021. And in the year '22, we said that we are going to have a 5% margin, we did it. Last year, we sold 119,000 units. Margin level was 15%. So Zeekr is the hardest brand when it comes to the margin level. So I think that if you take this into perspective, it would be easy to understand that our profitability is only to be higher and higher. China barriers itself in numbers. Look at our measures, look at our efforts, our efforts that had long been taking place for a while. We have been dedicated to contributing to investments in NEVs, preparing ourselves with a solid foundation. BYD had a better sales volume than us, but then Geely took over them. Well, I think that we speak with our product, we speak with our power and our hard work. In our guidance provided during our presentations, we promised and we delivered. So in one word, our management have the very confidence for the future.
Unidentified Analyst: I'll be quick with my questions. Congratulations on another year, JPMorgan. You mentioned about your global business and 175. So overseas market is now accounting for 16% of your business. What is your long-term goal for your overseas percentage to the revenue? As a parent company versus the listed company, what is your business presence and production capacity over the world compared with BYD's production planning worldwide? It has also been mentioned the co-procurement scheme, sharing of a platform, so you assume that by showing the platform and co-procurement, 175 is going to enjoy a better cost and better controlling the cost and you have a good potent sales as well. So could you just quantify that for us, give us some maybe indicators or numbers as to how the future X volt market would look like?
Unidentified Company Representative: Well, thank you. Our overseas market always receive our very best attention. As I said, 2023, we sold 274,000 units overseas, which is a record high. And for Zeekr, for Lynk as well, well, I believe that for -- and also Geely, so for Geely, we want to work on Asian countries, Middle East and African countries and Mexico, so these countries are our destinations for Geely. Now for Asian countries and Middle East, Geely is trying to make these markets pivotal, especially in Indonesia, we are seen as a benchmark carmaker in those markets by empowering our technology, empowering our supply chain. PROTON used to sell 90,000, now is over -- sorry, 40,000 with about 9% market share, that was in the past. Right now, we have about 20% strong market share for these countries. For Geely, that's what I said. And for Lynk, we will have dual circulation. We would optimize our year strategy and will what cater on Asia-Pacific market. Year-over-year, we have over 150% increase in our South and Asian markets. Whereas for Europe, we sold over 10,000 units, and we will tap on the distributor resources to step up our work on retailing in European markets. In Europe, we will also launch a global model, E335, which is a pure EV in European markets, which will be stellar, I believe. So Lynk -- for, Geely, of course, we will have 300,000 units alone. And for total overseas sales is that we want to have a year-over-year increase that is higher than the industry average. That is our internal goal for overseas market growth. Now, we are going global. We are going inside, and we are going upwards, meaning that our supply chain will grow together with us, meaning that we will drive for local operation, an excellent operation so that our brands can go higher and higher. Zeekr brand, 230,000 units, well, we will have 30,000 units sold in overseas markets for the year. In European markets, I mentioned that we have Sweden and The Netherlands. We are now setting our business presence there. And in Western European countries such as France, Germany, Norway, Luxembourg, we will make our presence there as well. Hopefully, this year. And for the new markets that we go into, we would have left-hand and right-hand side driving models like Zeekr and other models. We will expand Middle East, Latin America, Southeast Asia, Australia, New Zealand, Hong Kong and Macau. Maybe we will reach 58 countries this year. Now, we also have Israel as well. Our first month's performance in Israel reached #1. In American market, 2 years ago we announced that we work together with Waymo hoping to have the first robot X before the end of the year for the U.S. market. Of course, we do to be in the U.S. market, whereas in Europe, we have to see market routes. So this is the international business for Zeekr. And for Geely as a whole, I remember that our global competition -- you also asked about the local production, right, for our global sales, the Geely Automobile going global. Of course, we need to consider the local production, but it is still too early to give you any details, but we admit that local production is important. And we would like to know more details in due time. About the synergy that you mentioned, the synergy not only on technology, but also in production, in the year 2021, we said that we have a continuous revenue, about RMB 1.3 billion in 2023. Revenue coming out of the 175 increased significantly, so people may be questioning the profitability of 175. Now the profitability of 175 covered the losses generated in Zeekr. Now, as we are getting higher and higher profitability, the synergy generated from sharing platform and co-procurement, I believe that in the future this will give us very nice synergy and great savings in the future.
Bin Wang: I'm Wang, Bin from Deutsche Bank. I have 2 questions. First one is that Zeekr 001 within 2 weeks have received an order of 20,000. And what about 007? 25,000 units. With a strong order, your monthly sales will reach to 20,000 very soon. So I think that will help you to breakeven. When you reached more than 10,000 for 001, 007, Zeekr will breakeven, right? Monthly order level. And second question is on Zeekr's chips. You were using Mobile. Now, you are using Nvidia chips. You mentioned earlier, you will make your own pre-controller. So in the future, so you will use Nvidia's chips and to manufacture your own pre-controlling unit. Is that correct?
Unidentified Company Representative: January, February, Zeekr sales was close to 20,000 units, 136% increase. So that's February. Last year, Zeekr, for the price over RMB 300,000, Zeekr ranked #1. January, February this year and also this month for Zeekr brand, it is #1 for cars that are RMB 200,000 per unit. And so this year, we're very confident in achieving the target because of a few reasons. For 007, it was launched end of last year, and the sales is very good this year. Delivery of 007, a lot of orders have not been delivered yet. Well, as to for 001, end of last month, we just released the facelift version. And we're not expecting such good order for this facelift. And end of this month, our forecast is 30,000 units with the order we already received, that's 20,000 orders. These orders would refer to the nonrefundable orders. For 001, the year before last year was 70,000 units, last year is 74,000 units. And we've recorded growth. And for 001, we've had monthly sales of over 10,000. And I believe with the facelift, we are very confident we will be able to sell more than 10,000 per month. And 007 is a highly competitive family car. And we are now ramping up capacity to deliver against all the orders. In April this year, for the auto show, we're going to release the third new model for this year, the brand new, extremely luxurious MPV. During the auto show, we will also release -- this is not the exact time because it's not confirmed yet. Roughly in Q2, we will launch the extremely luxurious MPV. And we also will have a model called MIX. So these are the 2 new models. And latest, in Q4, we will launch a mid- and large-size SUV. So by the end of the year, we would have had 6 new models playing in the market. So we're confident in delivering and the sales target. We need to make sure that each product becomes a benchmark in that segment. We want to build hero products, best-selling products, the hit products, and I think the models we're going to launch tick all the boxes. We talked about smart and intelligent car. We have the Mobile line and also the in-house line. With the in-house line, we use Nvidia's Orin chips, and the -- this product has already been used in 007 and the performance of which you are all very clear. We are very pleased with it. And we believe with the [MPV] increase and also parking technology further improves, we believe that our in-house developed system will rank #1 because we are making huge investments in this endeavor, and the results have been very satisfactory. And with Mobile, this is already being used on 001 and 009. Mobile system on 001 has been selling very well. One important reason is because we have done a very big upgrade of the system, which has been very well received by the consumers. So right now, we have 2 solutions in parallel. One solution is fully developed in-house, Mobile system. We have a huge R&D team behind it. So these are the 2 solutions we have now running in parallel. Okay. The pre-control unit, it's 100% in-house developed. The Nvidia chips and also our own pre-control unit, and with a centralized computing to our chips, Nvidia give us as the first customer to them, and we are now developing. There are many questions coming from online. I will read a couple. The first one is you mentioned that you will see more synergies in the future for 0175, what is your positioning in the Geely Auto Group. So thank you very much. Apologies first for those on the Internet because we have very vivid floor here in Hong Kong. Well, for the synergy created on 0175, well, in the past, purchasing -- placing some position on 0175 would be enough. In the future, what is the positioning of this listed company amongst the entire group? Because previously, this -- the spinoff of Zeekr, whether or not the 175 continue to be the underlying investment target since that the business performance is not as satisfactory as people might expect. But we do understand those concerns. My question -- my answer for you is that 0175 will and has been the core listed company amongst the group of Geely Auto. These will not change. Now 2 years ago, we spin off Zeekr -- sorry, we spin off Geely because a few years back, the capital markets had a very high valuation of EVs, so this was a strategic arrangement for our business, which was out of the point of shareholders because developing EV requires huge capital, requires fund raising from the capital market. Everybody understands 175 as a traditional carmakers, so the spin-off of Zeekr is an excellent move that give us over billions of U.S. dollars. So I think that if you put this into perspective of this arrangement of a spinoff is striking a balance between the shareholders of the 0175 and Zeekr's developments, especially the financial needs of its for development. So I think we have been sticking with our position that we will try to make Zeekr public at the right timing. And how is it going to -- what is the positioning of the future listing of Zeekr and 0175? I will say that 175 will continue to be a major shareholder of Zeekr, and Zeekr will continue to consolidate its balance sheet into 175. We said that Zeekr will try to strike -- will try to turn back into black on the Hong Kong's accounting standard this year. I think this is a promise. So 175, we will continue to be the majority shareholder controlling shareholder and the consolidating parent company of Zeekr. We are going to continue to support Zeekr. So worry not about that. We mentioned last year that we made 2 arrangements, first is for PROTON. It was under the umbrella of the parent company. And last year, it was switched to 175 because PROTON is now up to the cruising speed, and it's going to contribute positively. And we also have -- we also made 175 more focused in our future development by the spin-off last year of [indiscernible]. So we will address to the needs of the investors and minority shareholders continuously. Whether or not we should purchase the equity in Lynk from the parent company. Of course, we understand that proposal, and we will make reasonable arrangement. So one thing is clear is that 0175 has been and will continue to be the core listed platform in Geely. And all of the great performance will be reflected in 175 because we have never diluted our focus by any way. I hope that this sends out a clear message to the market. Well, I think it's about time. It's a little over run. Maybe we can have -- we can address 1 or 2 more questions.
Unidentified Analyst: I have 2 questions. First one is about the industry chips. Last week, there was a report from Bloomberg. It mentions that the Chinese government is requiring Chinese companies, especially Geely to purchase domestically produced chips. But yesterday, on the IR conference from Nvidia, people felt that all the mainstream Chinese OEMs are still buying from Nvidia. And for Zeekr, you also mentioned you're going to use Nvidia chips for sure. Can you please explain this? The second question, you've improved your profitability H2 last year. For last year, the gross profit margin improvement was not expected, but the ASP improvement have slowed down, only 2% improvement. Can you please explain? Especially for last year, the export business was very good, especially for East Europe market. So your overall overseas or export business profitability, how much better is that versus that in China? And also, what do you think about the sustainability of improved profitability for 175? And then...
Unidentified Company Representative: The Chinese government didn't require us to buy from Chinese manufacturers, and the manufacturers or the companies make their own decisions. We are now mainly using the Nvidia's chips because the smart driving market right now is very competitive. We would like to be able to develop the products in a faster manner so that we can offer the best driving experience for the users and to become #1 in this area, and that's why we use Nvidia's chips. However, we are already doing some work understanding better about the Chinese chips right now. That's about the chip question. And just to build on that, the Zeekr average selling price excluding the 13% value-added tax is about RMB 290,000 per unit. That's the ASP. And we are very confident in the sales volume of Zeekr this year. We started as a premium high-end brand, 001, 009, Zeekr X. We have all been successful. We were targeting at a more niche market, but now we have expanded into the mainstream market. And I believe you understand what I'm telling you here, the upcoming models will do very well in the mainstream market. We have turned the niche market into a mainstream market, which was most difficult part, but we've made it. We have the strategy of building a platform, which enables us to scale, and this, for sure, will help with the financials. And another example is Zeekr 007. We benchmark this model with Model 3. H2 this year, we are going to launch the SUV, which is going to target at Model Y. We would like to, for sure, be a winner in these 2 segment markets. For profitability improvements in H2, I would like to answer this question. H1, Geely cars, the sales was RMB 690,000. H2 is RMB 990,000, quarter-over-quarter growth 43%. So we have now -- we now can enjoin the scale economy, and that helps us dramatically with the profitability. That's more about the operating efficiency. And then in terms of the sourcing and procurement synergy, as you can see for the controlling group, it's over 2.9 million, and the synergy of supply chain benefits all brands. In October '23, we already completed the cost reduction target. We have already started the cost reduction initiatives in advance, those for 2024. I also want to talk about the Zeekr brand. As you can see, for H1, the loss-making was RMB 800 million, and H2, the loss was only RMB 300 million. So this also will improve the profitability of 175. You also mentioned ASP. We have been repeatedly saying for H2 2022, there was the one-off kind of Renault, that is RMB 1.75 billion investment gain. If that is excluded, then H2 '23 versus H1 '23 and also H2 '22, we have seen huge improvement on the operating profit. On top of that, there's also the export. The export in H2 was better than H1. So the profits ability for export is slightly better than the previous period of time. So overall of all these reasons or factors, we are able to improve the profitability level. I think for H2 '23, Geely Auto profitability has improved. The first reason is because of the volume, H1 is about 690,000. And more importantly is the optimization of product mix and staying focused. In the past, with ICE cars, we had so many different models, but we now are more focused. The first one is the China Star series, Xingyue, Xingrui, and also the Borui series, the [Tugella] series and Binyue. Well, we only focus on these 5 to 6 models for -- so we could really leverage in the scale economy of each model like China Star. Last year, sales is 324,000 units, and 28.8% year-on-year growth, especially in H2, single months, Xingyue L and Xingrui for Q4, some of them are over 20,000 units. So we do see very good scale economy. While for Borui last year, 220,000 units and '22 is 150,000 units. So that's a year-on-year growth of 46%, which was very good. You can see that we're staying more focused on the product portfolio.
Operator: So in the interest of time, we are coming close to the result announcement. Any final remarks from the management?
Unidentified Company Representative: Well, thank you very much. We're overrunning. Big, big thank you to everybody. I apologize for not being able to address all the questions. But I do invite all of you to reach out to our company, online and off-line, and we will arrange some time to entertain your questions. Well, thank you very much for coming. In the next 2 days -- well, a couple of days, the management will take part in investor meetings in brokers events. So feel free to reach out to us.